Operator: Ladies and gentlemen, thank you for standing by. Welcome to the CPSI First Quarter 2017 Earnings Conference Call. During the presentation all participants will be in a listen-only mode. Afterwards we will conduct a question-and-answer session. As a reminder, this conference is being recorded, Thursday, May 4, 2017. I will now turn the conference over to Boyd Douglas, President and Chief Executive Officer. Please go ahead, sir.
John Boyd Douglas - Computer Programs & Systems, Inc.: Thank you, George. Good afternoon, everyone, and thank you for joining us. During this conference call, we may make statements regarding future operating plans, expectation and performance that constitute forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. We caution you that any such forward-looking statements only reflect management expectations and predictions based upon currently available information and are not guarantees of future results or performance. Actual results might differ materially from those expressed or implied by such forward-looking statements as a result of known and unknown risks, uncertainties, and other factors, including those described in our public releases and reports filed with the Securities and Exchange Commission including, but not limited to, our most recent Annual Report on Form 10-K. We also caution investors that the forward-looking information provided in this call represents our outlook only as of this date and we undertake no obligation to update or revise any forward-looking statements to reflect events or developments after the date of this call. Joining me on the call today will be Matt Chambless, Chief Financial Officer; Chris Fowler, Chief Operating Officer; and David Dye, Chief Growth Officer. At the conclusion of our prepared comments, we will be available to take any questions that you may have. Our first quarter of 2017 was one of continued progress toward our goal of delivering long-term growth and value. I'm especially energized by the progress being made in our bookings and scheduled implementations. Coming off a very strong bookings performance in Q4 and experiencing what we see as another great start to Q2, the first quarter delivered on positive momentum. TruBridge Q1 sales is evidence of the traction it is gaining across our family of companies as well as playing a key role in helping bring our vision of creating healthier, more vibrant and financially strong communities to fruition. The revenue cycle management solution, which includes the Rycan RCM product, continues to strengthen in its success and attractiveness to both our acute and post-acute clients. We are also excited to be launching our new business intelligent dashboard later this month from TruBridge as it is a cornerstone of our population health solutions to come over the next few years. Finally, I'd like to provide a preview into the Q2 TruBridge booking activity by sharing that in April, we signed the largest contract in CPSI history with a $3.1 million value. As the revenue recognition begins to materialize from this April booking, in addition to the bookings from the last two quarters, we are enthusiastic about the noteworthy performance expected from TruBridge in the second half of this year. While we are waiting on the final ruling of 2018 meaningful use attestation requirements, hospitals and providers will be subject to financial penalties from the federal government if they do not comply. Absorbing one year of these meaningful use penalties maybe feasible for some small rural hospitals, but compounding those penalties year-after-year is likely insurmountable for most. Many of our Evident and Healthland clients are choosing to not take a wait-and-see approach to meaningful use stage 3 or risk a negative impact of financial penalties. Instead, they are taking a planful and reasonable approach to this timeframe. With this backdrop, sales of MU3 package have had a really good start in Q1 and we're seeing continued pickup in Q2. Matt will provide more detail around our Q1 revenue performance, but a large component of our lower revenue results was the delay of two scheduled implementations in quarter 1 to quarter 2. While we prefer to not have to manage through this type of unexpected event, this is simply a reality of the small rural market we serve. Central to our business is our dedication to partnering with our clients, understanding their unique needs and providing clear direction, based on our expertise and years of experience. Putting our clients first means in this instance that we don't push implementation start dates if the client is not ready to proceed. It's important to not lose sight of the fact that the number of scheduled implementations this year has already surpassed the number of implementations that we competed in 2016. In total, we currently have 11 sites slated to go live during the second quarter and eight additional sites slated for the third quarter. This level of implementation activity continues to paint a positive picture from a revenue perspective, as it will be recognized over the next three quarters of 2017. In closing, before I hand this over to Matt, I want to take a moment to acknowledge two milestones that are important to highlight. Last quarter, we announced the launch of the CPSI Rural ACO, powered by Caravan Health. This innovative program allows us to be an active partner with community healthcare providers and leaders as they transition to delivering quality healthcare at a lower cost and, ultimately, manage the health of their community. In short, we believe aligning our solutions with value-based care is the path to future growth and to securing a successful future for small and rural communities across the U.S. Since the announcement of the ACO, we are enthused by the interest level we have seen with over 100 rural communities taking the first step in the application process. These first applicants are made up of a mix of clients from our family of companies as well as non-clients. Aligning our business intelligent product, the first of a broader business analytics solution is representative of the type of products and services that will help our ACO members manage through successful results, healthier communities and shared savings. Finally, with the bulk of our integration efforts behind us from the Healthland acquisition, we continue to be very pleased with the cost synergies that we have achieved today and encouraged by further cost savings we fully expect to materialize in the coming months and years. Beyond the achievement of cost savings from this integration, we are now preparing for the culmination of this successful acquisition with our first combined annual client conference taking place later this month. Over 1,000 clients will be attending from across our family of companies to learn more about our existing products, new products and to network with their peers from both the acute and post-acute world. This conference represents a turning point for us and all of our clients in which we are leveraging our strengths, experience and expertise, not only across our companies but across care settings. And now, I would like to turn the call over to Matt for a look at the numbers.
Matt J. Chambless - Computer Programs & Systems, Inc.: All right. Thanks, Boyd, and good afternoon, everyone. As some of you may have noticed, we've again changed up some of the geography in our income statement presentation to reflect recent changes in how we now manage the company, with these changes largely the result of the integration of operations from Rycan and hosting services for our Healthland and AHT subsidiaries into TruBridge. As these reclassifications naturally impact comparability to previously reported amounts, you'll find tables in our earnings release showing recast quarterly bookings and recast quarterly income statements going back to the first quarter of 2016. Our performance for the first quarter was driven by a few themes that we'll certainly touch on later, but there are a few takeaways that really drove the quarter. First, non-recurring revenues came in below where we were expecting due to the delayed implementations that Boyd mentioned, placing downward pressure on both adjusted EBITDA and EPS. Second, TruBridge showed modest sequential revenue growth, an indicator that the related revenue trend line is heading back upward after a subpar performance in the back half of last year. Lastly, the continued strength and stability of our recurring revenue base led to a free cash flow of $9.7 million during the quarter, normalized to around $5.8 million for increases in deferred revenue, allowing us to continue to follow our aggressive de-levering strategy by making an advance payment of $5 million against our revolving credit facility, bringing our total advance payments over the past six months to $7 million. First quarter bookings of $23.5 million were obviously well below the record $30.6 million we reported from the fourth quarter of last year. That was certainly a tough comparative to meet. We do feel that bookings are on a long-term upward trajectory, but we certainly don't think that, that trend line will be perfectly linear. To that point, bookings are up 3% over the first quarter of last year and up 4% over average quarterly bookings of 2016, excluding fourth quarter's dramatic increase. We're particularly thrilled with the nice trend line we see developing for TruBridge bookings. Of the $17 million in system sales and support bookings, roughly $1.2 million are included in our first quarter revenues. $15.1 million represents non-subscription sales that should trickle into revenue over the next 12 months, with an average lag between booking and install of 5 months to 6 months. $0.7 million represents EHR subscription revenue to be recorded over a weighted average period of five years, with a start date within the next 12 months and similar to our non-subscription sales, an average lag between booking and install of 5 months to 6 months. Our $6.6 million of bookings from TruBridge, which again, include our revenue cycle management product sales of Rycan, are mostly made up of recurring revenue to be recorded over a one-year period, starting in the next 4 months to 6 months. While bookings for the last couple of quarters provide some exciting news for future revenues, particularly for TruBridge, we're continuing to focus on our cost structure to ensure we're maximizing the efficiency of our workforce and other resources. Some of you may recall the success that we had with the Voluntary Early Retirement Program we offered in the second half of 2015. Since that time, the composition of our workforce has changed dramatically, mainly through our transformative acquisition of Healthland, compelling us to offer a similar one-time Voluntary Early Retirement Program to eligible employees during this quarter. As mentioned in today's press release, the results to-date our annual cost savings from salaries alone of $2.1 million, and we expect to incur $1.7 million of one-time severance expense, most of which will hit our income statement in the second quarter. We're also excited about the other cost-saving measure that was included in the press release, the annual $2.4 million of savings achieved by our TruBridge team as part of the integration of Healthland and AHT hosting services into TruBridge, annual savings that were not considered in the synergy amounts we've been discussing over the past year. Although we expect one-time capacity related CapEx of approximately $750,000, we're no doubt thrilled with the result and excited for future opportunities that will arise as we continue with our multi-year integration strategy. And now, a few more details on the first quarter. Because of the aforementioned delays at two new customer sites, installations of our Thrive financial and patient accounting system decreased from the fourth quarter, with three such installations taking place in the first quarter compared to the five we saw last quarter. When it comes to licensing mix, one of this quarter's three installations were under a cloud or subscription model, whereas that mix for the fourth quarter was one out of five. At this time, we expect to install our Thrive financial and patient accounting systems in 11 new client facilities in the second quarter of 2017, only one of which is expected to be installed in a cloud environment. This volume of new system implementations marks the highest quarterly volumes we've seen since 2010. Our strategy to-date has been to remain agnostic towards licensing model. Instead, coaching prospects on the environment that best suits their needs. While we continue to believe that approach is the best way to do business in our market, it's certainly difficult for us to nail down any specific trend in demand dynamics between our perpetual and cloud licensing models. Second quarter's expected installations imply that the first half of 2017 should see 14 new installations, with only two in cloud environments, compared to a subscription mix in the back half of 2016 of four out of 10. Big swings in licensing mix have and are expected to continue to cause variability in our short-term revenues and profitability. On the Healthland front, we have one net new install in the first quarter, with one migration from Classic to Centriq expected for the second quarter of 2017. Our overall employee head count as of March 31 was roughly 1,958, a decrease of 77 from the end of the first quarter. This mostly related to intentional efforts to right-size our resource capacity at TruBridge. Speaking now to system sales and support revenue, the customer delays we mentioned earlier led to a decrease in installation activity, driving a slight sequential decline in our revenue performance. Year-over-year decreases were also driven by the decrease in Thrive installation activity, with seven installations in the first quarter of 2016 versus the three we mentioned for the first quarter of 2017, driving a $3.4 million decrease in non-recurring revenues. And non-recurring Healthland legislation revenues declined $2.7 million as we worked through migration opportunities during the trailing 12 months. On the cost side, margins were sequentially flat at 57% despite the revenue headwinds but showed an improvement from the first quarter of 2016's 55% as the first quarter of 2017's costs have captured full Healthland synergies, and sales mix has shifted away from lower margin hardware sales. As I mentioned earlier, we feel that TruBridge has finally turned the corner after the disappointing finish to 2016, with revenues posting a slightly sequential increase despite not yet significantly benefiting from the impressive bookings performances of the fourth quarter of last year or this year's first quarter. Our combined accounts receivable management and private pay services drove this sequential increase. The performance of these business lines, when coupled with the impressive growth we're seeing with Rycan's RCM products and increased demand for our cloud hosting solutions, were enough to overcome decreased non-recurring consulting revenue and allowed us to achieve 3.6% growth year-over-year. TruBridge's success has been (16:02) at the top line, however, as we were able to identify some right-sizing opportunities in our workforce, leading to margins improving sequentially to 42.6% from last quarter's 41.2%. Year-over-year margins are slightly below last year's 43.4% as certain of the capacity driven investments we've made recently have been in anticipation of what we see as a stellar back half of 2017. Our product development costs remain relatively flat sequentially but are up 24.3% over the prior year, as we've expanded our consolidated development team over the trailing 12 months to ensure we're leveraging our unique position in the market with increased integration between our acute and post-acute care EHR solutions. Sales and marketing costs are up sequentially due to commission timing and increased cost associated with our recent brand launch designed to increase our presence in the market and make sure the community health care market really understands who we are one-year post acquisition. The year-over-year increase is further compounded by increased travel costs. General and administrative cost increased 5.2% from the fourth quarter of 2016 as improved bad debt and health claims expense were outpaced by decreased vacation utilization by our salaried individuals and retirement plan cost increased as most of our employees had maxed out their annual employer match prior to the fourth quarter of 2016, with those annual maximums resetting at the beginning of the year. Year-over-year, the largest contributing factor has been the $7.6 million decrease in transaction cost. The quarter's high effective tax rate of 83.6% is mostly due to a recent change in the accounting standards that resulted in $800,000 of additional income tax expense related to tax shortfalls associated with stock-based compensation. Under previous accounting standards, tax shortfalls and windfalls arising from stock-based compensation were usually booked directly to equity. Under the new accounting standard, which became effective this quarter, these items are required to be recorded in the income statement. And with that, I'll now turn things over to Chris Fowler, our Chief Operating Officer.
Christopher L. Fowler - Computer Programs & Systems, Inc.: Thanks, Matt, and good afternoon, everyone. Coming off of two substantial quarters of TruBridge bookings has created nice trend lines, not only on our bookings performance, but also on our revenue, as Matt mentioned. I'm going to address the conversion of bookings to revenue from both Q4 of last year and this first quarter to help get some insight around our optimism for the second half of the year. Looking back at the total Q4 bookings last year for TruBridge of $7.8 million, nearly $3.6 million of that was attributed to our accounts receivable management and coding solutions that were implemented at four sites at the end of the quarter. Therefore, we will start to see that associated revenue materialize in Q2. Shifting to our Q1 bookings performance for TruBridge, again, we will have trailing revenue recognition that we expect to realize in the second half of the year. The impact to revenue through the end of the year is significant, with the Q1 total TruBridge bookings of $6.6 million and just over $3.3 million associated with our accounts receivable management. This means that 40% of the Q1 TruBridge bookings will be implemented by the end of Q3, and another 10% will be implemented and recognized in revenue in Q4. As a reminder, our accounts receivable service has a contingency fee and billed based on monthly collections. One tangible benefit that our clients were exposed to soon after the Healthland acquisition was the Rycan RCM product. As we have shared on previous calls, we have seen a favorable response with plenty of opportunities still remaining. We continue to see momentum for the Rycan RCM product in both the Healthland and Evident customer bases as well as non-customers. We are also gathering insights and learning from our American HealthTech clients in an effort to tailor our offerings so that they are most suitable to the post-acute market. As Matt mentioned in his remarks, we're excited about the consolidated efforts underway for our cloud services. The TruBridge cloud services is a robust offering, which includes features, such as private cloud infrastructure and network security controls that will enhance the service for the Healthland and American HealthTech clients. We've made a capital investment of approximately $750,000 in our hardware infrastructure, which has in turn allowed us to start the process of moving the American HealthTech and Healthland clients over to the TruBridge cloud environment. In addition to the consolidation, with the new infrastructure, we now have capacity to accommodate another two years of growth at 15% to 20% in our cloud services. By the end of the second quarter, we expect all American HealthTech clients to be under the TruBridge cloud services, delivering $600,000 of 2017 savings. Healthland clients are scheduled to be complete with their transition to the cloud environment by the end of October and accumulating an additional $200,000 in savings this year. Combined, transferring these clients under TruBridge cloud services, we anticipate the savings run rate of $2.4 million beginning in Q4 this year. Finally, as discussed in previous calls, we are eager to release the initial offering of our business analytics solution, which is a business intelligence dashboard, at our annual client conference with over 1,000 attendees this month. Early client feedback indicates that this new product is not only timely, but squarely aligned with the specific needs of our market, considering the shift to value-based care. This type of business intelligence tool and service will aid in our clients' ability to better manage their overall business of managing the health of their communities and their financials. We expect to have sites going live on this new service beginning in Q3. And by the end of the year, we will have released two additional service offerings under the business intelligence umbrella, including custom reporting and self-service reports. With that, I'll turn it over to David.
David A. Dye - Computer Programs & Systems, Inc.: Thanks, Chris. As Boyd, Matt and Chris had mentioned, we are pleased with our sales efforts in the first quarter. In particular, TruBridge bookings were once again solid, and when combined with the aforementioned record contract we executed last month, we are poised to produce significant growth in this recurring revenue segment of our business in the second half of this year. The two areas of TruBridge that are contributing most notably to bookings are accounts receivable management and Rycan. Year over year for the first quarter, ARM's bookings were up 80% and Rycan, 191%. And the prospects going forward for TruBridge bookings are promising. Our pipeline is larger than ever. And as we improve the integration with AHT and Rycan, our TruBridge services will be poised to grow outside of their traditional in-patient foothold and within American HealthTech's post-acute customer base. Evident add-on system sales for the quarter were strong in large part due to $3 million in bookings related to MU3 functionality. We began providing the MU3 package in March. And not unexpectedly, sales were brisk, with customers anxious to be in position to attest for MU3 in the 90-day period beginning October of 2017. Bookings related to MU3 remains steady thus far in Q2. And as Chris mentioned, we look forward to later this year as we begin offering our business intelligence dashboard to our acute-care customer base. We believe we will see a meaningful bump in add-on software sales as a result of our BI offerings at the end of this year and more significantly in full-year 2018. Our performance with Evident new systems sales within the quarter was disappointing, having followed a stellar fourth quarter. In the quarter, we signed three new customer contracts for a total bookings amount of approximately $3 million. A number of deals have experienced a prolonged sales cycle, and we are confident in our prospects for signing six to eight new contracts in the second quarter. The number of overall prospects in the pipeline remains steadily high. This number of Evident contracts executed does not include several existing hospital customers that had recently signed with a competitor and has since signed long-term contract extensions with Evident due to frustration with delayed install timelines or failed system implementations. We continue to believe that humbly competing in the community healthcare marketplace with a product that works now is truly integrated through internal development and not partnerships and acquisitions and has existing functionality for all clinical, financial and patient accounting departments of the healthcare setting, including the hospital, clinics, post-acute, and home health is the right long-term solution for the market. We believe that the 19 new hospital contracts and additional 10 hospitals that have returned to CPSI from failed competitive implementations within the last 6 months is evidence that our belief in true integration and a complete solution is once again proving to be correct. In summary, we are poised to see the fruits of the bookings from the last six months assist with the return to revenue in bottom line growth for the remainder of 2017. And our sales team is focused on continuing to deliver bookings growth via new client sales, add-on sales and TruBridge services so that growth can continue in 2018 and beyond. George, if you could please open up the call for questions?
Operator: [Operating Instructions] Our first question comes from the line of Rob Munnings with William Blair. Please proceed with your question.
Robert Munnings - William Blair & Co. LLC: Hey guys thanks for taking the questions. I wanted to ask about retention and customer satisfaction. Is there any chance to retention expectations in the quarter? And have you seen any tangible impact from the high-touch client communication strategy you discussed last quarter?
John Boyd Douglas - Computer Programs & Systems, Inc.: Our retention rates remain stable. Not that we've seen any notable impact from our – from the efforts that we've made here recently. They continue to remain in the 97%, 98% range, and we're pleased with that. And part of our efforts to do that was to keep that retention rate in that range. So we're pleased with where that is.
Robert Munnings - William Blair & Co. LLC: All right. Great. Thank you. And then could you talk a little bit more about the competitive environment this quarter? What's the differentiating factor that has led to some wins in the quarter versus some of your bigger competitors?
David A. Dye - Computer Programs & Systems, Inc.: Yes, well, I think if you're talking about the first quarter, I mentioned that we were actually coming off a fourth quarter that was the best that we've had in years, where we signed 16 new customers; we only signed three net new clients in the quarter. There weren't a whole lot of deals that were actually decided, so it wasn't as if we had a terrible win-loss rate. It's just several decisions got delayed that we thought would have done in the quarter. And I mentioned in the comments that we feel like we'll get approximately 6 to 8 new clients in the existing quarter, in the second quarter of this year. You may be referring to – we did, and I mentioned this in my prepared comments, we have in the last couple of quarters, and in particular, in the first quarter, had some hospitals that had been our customers, whether that be Healthland or Evident, that had signed with competitive vendors and that that have since had failed implementation of those- from those – from their attempts to go to another vendor, again, either because of frustration with delays of the implementation or failed implementations and the net result of a reduction in cash flow that have come back to us. So that's something that we're particularly pleased with that happened in the quarter.
Robert Munnings - William Blair & Co. LLC: All right. Great. Thanks. All I will stop there. That's all from me. Thanks a lot, guys.
David A. Dye - Computer Programs & Systems, Inc.: You bet. Thank you.
Operator: Our next question comes from the line of Nina Deka with Piper Jaffray. Please proceed with your question.
Nina D. Deka - Piper Jaffray & Co.: Congrats on the big win April with TruBridge.
David A. Dye - Computer Programs & Systems, Inc.: Thank you.
Nina D. Deka - Piper Jaffray & Co.: So you mentioned that you closing Rycan deals in areas in particular where you weren't previously doing business. Can you describe the nature of those deals? Were they competitive bids? Was it displacing something? And are they currently using a competitor's EHR when they selected your Rycan software?
David A. Dye - Computer Programs & Systems, Inc.: Yes. I don't know what we said about in places where we haven't competed before. I mean, essentially, 100% of the Rycan business that we did in the first quarter was within inpatient facilities, in the community hospital marketplace. We are – we do believe, with the success that we've had with Rycan and the customer satisfaction that we have there and I did mention that bookings in the quarter were up 191% year-over-year, that we've kind of been on the steady rate there and we look for that to continue. We do think that Rycan has the ability to move upmarket and can compete with the vendors that traditionally play in the accounts receivable management space in that mid to larger tier hospital space. So that is an effort that we're currently undertaking. That is something that we just began. And Chris and I both mentioned the fact that we spend a lot of time with our larger group, post-acute customers with AHT to understand what changes we need to make with Rycan with the integration there, so we can penetrate that market. And the integration that we're working on there, we think will be completed within the next months or so – six months or so and that's something we're excited about.
Christopher L. Fowler - Computer Programs & Systems, Inc.: And one thing, Nina, this is Chris, just as it relates to competitive replacement, essentially everything, except a startup, is going to be competitive in this space just because it's a commodity that everybody has to have. So unless it's a brand-new facility, we're going to be in a competitive situation, but like our odds against pretty much anybody that we're up against.
Nina D. Deka - Piper Jaffray & Co.: And do you have scenarios where they were not using the CPSI for electronic health records, but they selected to use your RCM platform?
Christopher L. Fowler - Computer Programs & Systems, Inc.: Yes. That's correct.
Nina D. Deka - Piper Jaffray & Co.: Okay, thanks, that's helpful. And did you mention your addressable market is for your BI products across your existing hospital base?
Christopher L. Fowler - Computer Programs & Systems, Inc.: Yes. You know from the standpoint, the addressable market that we're looking for is immediately the acute space with both the Healthland and Evident customer base. So we'll be showcasing that in a couple of weeks at our conference, again, delivering that hopefully in the first to third quarter. We're still working on some last pieces of development for the post-acute space, and ideally should be ready to deliver that by the end of the year. So internal customer base to start and then depending on how it develops, potentially be another offering that TruBridge can take outside of the CPSI walls.
Nina D. Deka - Piper Jaffray & Co.: And would you say that – I know this isn't possible, but if everyone in your existing base bought it, would you say that, that was worth a certain percentage of your total, like is it $0.50 to $1? I guess, I'm just trying to quantify the addressable market.
Christopher L. Fowler - Computer Programs & Systems, Inc.: Sure. And I'll just kind of give you some round numbers, because, obviously, we're excited, but want to be cautiously optimistic and not set improper expectations. Ideally, if in this calendar year, we could see somewhere between 30 and 40 hospitals convert to the service, we'd be pretty excited about that for a couple reasons. One, we'd be getting the product out into the market. Two, they would be contributing to the growth of the dashboard service itself. So the next six months will really provide the trajectory that we're looking for as far as how quickly we can convert this throughout the base. But ideally, we feel like it's something that is valuable for everybody. And again, as it goes – as more people start converting towards the value-based care, that this offering will help them manage their facility a little more efficiently.
Nina D. Deka - Piper Jaffray & Co.: Great, thank you. That's very helpful.
Operator: Our next question comes from the line of Sean McBride with Robert W. Baird. Please proceed with your question.
Sean P. McBride - Robert W. Baird & Co., Inc.: Hey, David. I'd like to start with the 10 hospitals that have switched from and recently come back to CPSI. So are those long-term contracts that they've returned to?
David A. Dye - Computer Programs & Systems, Inc.: Yes.
Sean P. McBride - Robert W. Baird & Co., Inc.: Okay, great. And then...
David A. Dye - Computer Programs & Systems, Inc.: ...five-year contracts.
Sean P. McBride - Robert W. Baird & Co., Inc.: Okay, great. And then, Matt, on topic 66, based on disclosures, I do understand it, it's in the early stages, but I was wondering if there is any preparations that ultimately will have an impact on the P&L in 2017 related to that.
Matt J. Chambless - Computer Programs & Systems, Inc.: Yeah. So Sean, we're still working through that. I think you're probably seeing some of the other players in our space and their disclosures on this, what they – and that there's been some discussion about some – the advanced recognition of some subscription revenues. We're still working through that, but historically subscription fees haven't (34:56) that major component of our business. So I wouldn't expect that right now to be a game-changer on that front. And also I want to remind you that there is also on the cost side, there's also going to be a cost impact from 606, with the deferral of – most companies are going to end up deferring some level of commission. So we're still working through that stuff.
Sean P. McBride - Robert W. Baird & Co., Inc.: Okay. But in terms of like extra cost related to bringing in consultants or things like that, nothing major?
Matt J. Chambless - Computer Programs & Systems, Inc.: No, no.
Sean P. McBride - Robert W. Baird & Co., Inc.: Okay. And then just wanted to confirm that the two scheduled implementations in 1Q that got pushed to 2Q, those are both license software?
Matt J. Chambless - Computer Programs & Systems, Inc.: That's right. Neither of those were under a subscription model.
Sean P. McBride - Robert W. Baird & Co., Inc.: Okay. Perfect. Thank you.
David A. Dye - Computer Programs & Systems, Inc.: Thank you.
Operator: Our next question comes from the line of Mike Ott with Oppenheimer. Please proceed with your question.
Mike Ott - Oppenheimer & Co., Inc. (Broker): Yeah. Good afternoon. Thanks for taking my questions. I wonder if you could tell us a little more about what led to that big $3.1 million TruBridge contract? And do you expect more (36:06) like it in your pipeline here?
David A. Dye - Computer Programs & Systems, Inc.: Yeah. I'd like to say what led to it is good old-fashioned sales work. We don't want to name the specific customer. It's a hospital-based customer that also has some associated outpatient facilities. And we do, in fact, have some more discussions around contracts, maybe not quite as big as that, but we do have the potential to close a couple of more that are larger in size, not necessarily in this quarter, but we had one that was not as big, but was similar in the fourth quarter of last year, too, that helped drive the bookings that we've achieved in the fourth quarter. I don't know that we have expectations that we'll get a handful more of $3.1 million contracts over the course of the next 9 months and 12 months, but there are several ones that are larger than what we've traditionally been competing for that are out there right now that we're excited about potential.
Mike Ott - Oppenheimer & Co., Inc. (Broker): All right. Thanks, David. And then maybe one for Matt, with the cash from operations up strongly year-over-year, I know the release mentioned the balance sheet normalizing in mid-2016, but do you see more opportunities to increase or – the cash flows from here?
Matt J. Chambless - Computer Programs & Systems, Inc.: Yes, I mean, in the very short-term, that's all going to be driven for the most part by revenues because as we see the back half of 2017 and the recurring revenues resuming substantial growth for TruBridge, that should translate into operating cash flow performance. We should also see – hopefully, see some improvement on the cost side, but that's a little bit still in the works with some of the programs we have in place.
Mike Ott - Oppenheimer & Co., Inc. (Broker): All right. If I could one last one, with the AHCA passed in the house this afternoon, wondering if you guys see or have you seen an impact on deals realizing that some of your clients are certainly in non-expansion states, but wondering if you had an impact there?
David A. Dye - Computer Programs & Systems, Inc.: No, and that's not surprising. Typically, unless the legislation directly affects the incentives for EHR use or something surrounding that, it typically does not have effect – a large effect on our market.
Mike Ott - Oppenheimer & Co., Inc. (Broker): All right. Thanks very much, guys.
David A. Dye - Computer Programs & Systems, Inc.: Thanks, Mike.
Operator: Our next question comes from the line of Matt Dellelo with Leerink Partners. Please proceed with your question.
Matt Dellelo - Leerink Partners LLC: Hi, guys. Thanks for the questions. Just following up on that last one, to be clear, so in Q1, you didn't see any sort of budget hesitation due to uncertainty in Washington. And a couple of deals got pushed quarter-to-quarter. Was that just timing? Or was there any sort of like hesitation or pausing from customers?
David A. Dye - Computer Programs & Systems, Inc.: No hesitation or pausing that has anything to do with Washington, D.C. Delayed board meetings, board approvals, you know, that type of thing is more traditionally when we see delays and that's what happened in these cases.
John Boyd Douglas - Computer Programs & Systems, Inc.: And as far as the two you referred to the two installations that got pushed, one of those installations is a new facility, new construction, so (39:35) construction issues and didn't open when they expected. They are on track to open in the second quarter. And the other one was the client elected – had some internal financial issues they had to deal with, and they elected to postpone the installation until the second quarter. And, again, they're on track to install this quarter as well. So it had nothing to do with D.C.
Matt Dellelo - Leerink Partners LLC: Okay. That's good. And then on the competitive front, is there anything different versus the last couple of quarters? Are you seeing any intensified competition from Athena or others?
David A. Dye - Computer Programs & Systems, Inc.: I wouldn't say there's anything different, Matt. I mean the competition has been pretty intense now for quite some time, not just with Athena, but with everybody else that's out and that's nothing we haven't experienced over the past several decades. But some of the names have changed, but the competition's stiff from – certainly from Athena, but from everybody else that's in our market.
Matt Dellelo - Leerink Partners LLC: Okay, great. Thanks a lot.
David A. Dye - Computer Programs & Systems, Inc.: Thanks, Matt.
Operator: [Operating Instructions] Our next question comes on the line of Gene Mannheimer with Dougherty & Company. Please proceed with your question.
Eugene Mannheimer - Dougherty & Co. LLC: Thanks, guys, good afternoon. There was a question earlier around the analytics market, the size, so I'm just trying to get a handle if we could quantify that a little more. I know if you price – you share the pricing on that, but let's say, it's – if it's $40,000 a module and all 1,000 of your hospitals bought it, I mean, are we talking about a $40 million addressable opportunity there? Is that in the ballpark?
Christopher L. Fowler - Computer Programs & Systems, Inc.: Yes. I think you're pretty close. We're looking at potentially $30,000 to $50,000 upfront, with the subscription around $2,000 a month. And, again, as we continue to build that out, we'll see more value going toward that, Gene.
Eugene Mannheimer - Dougherty & Co. LLC: Okay. That's great. Thanks for that color. And I wanted to get a little bit of a cadence around the bookings. You say you have 19 new contracts over the last couple of quarters, obviously, skewed to the fourth quarter of last year, but when would that – when would we expect to see that – those bookings convert to revenue? Would the overwhelming majority of it be in 2017?
David A. Dye - Computer Programs & Systems, Inc.: Yes, the overwhelming majority in 2017. From the new install perspective from those bookings, we've mentioned we've got 11 going live, scheduled to go live in second quarter and right now eight in the third quarter. From a TruBridge standpoint, we've tried to explain that maybe a little bit more than we traditionally have in the past. We've got some from those strong bookings quarters that are going in the second quarter, but the majority of that really starts in the third quarter.
Eugene Mannheimer - Dougherty & Co. LLC: Okay. All right very good. Thank you.
David A. Dye - Computer Programs & Systems, Inc.: Thanks, Gene.
Operator: There are no further questions at this time. I'll now turn the call back to the presenters.
John Boyd Douglas - Computer Programs & Systems, Inc.: Great. I just want to thank everyone for being on the call today. Thanks for your interest and support in CPSI, and hope everyone has a great Friday and a great weekend. Thank you.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation, and ask that you please disconnect your lines.